Christophe Barnini: Thank you. Thank you. Good morning, ladies and gentlemen. Welcome to this presentation of CGG's second quarter 2021 results. The call today is hosted from Paris where Mrs. Sophie Zurquiyah, Chief Executive Officer; and Yuri Baidoukov, Group Chief Financial Officer, will provide an overview of the second quarter and half year 2021, and we will also provide comments on our outlook.  Some of the information contains forward-looking statements that are subject to risks and uncertainties and that may change at any time, and therefore, the actual results may differ materially from those that were expected. Following the overview of the quarter, we will be pleased to take your questions.  And now I will turn the call over to Sophie.
Sophie Zurquiyah: Yes. Thank you, Chris, and good morning, ladies and gentlemen, and thank you for participating in this Q2 2021 conference call. So I'll start with general comments on our market environment on Slide 5. Overall, during the second quarter, activity of our clients remained similar to the first quarter, with the international oil companies maintaining capital discipline, while national oil companies and large independents remain more active. However, the macro environment has clearly strengthened, with Brent oil price remaining over $70. This is triggering an increase in short-cycle investments, mostly targeting development and production. We are not yet seeing in our geoscience space significant changes in behavior, even though there are positive signals. In 2021, the IOCs will generate significantly higher cash flows and deleverage quickly. Even if financial discipline, dividend payouts and decarbonization remain their priorities, we expect they will start accelerating spending to meet hydrocarbon demand recovery and compensate for the depletion of their existing reservoirs. For all the activities of our clients to optimize production from their current reservoirs and to meet growing hydrocarbon demand, CGG's high-end technology will be a key component of the value chain. Already, we see Geoscience progressively recovering, thanks to increased demand for our superior technologies and services. Multi-Client was particularly slow during the quarter due to delayed prefunding and the slow decision-making processes from our clients, mainly the IOCs. Since the end of June, we have finalized agreements for more than $35 million of prefunding for our 2021 streamer vessel programs. Those agreements were expected in Q2 but slipped into July. It was a slow quarter, as planned, for our Equipment business due to the timing of deliveries. Sercel was recently awarded a major contract for 18,000 GPR300 shallow water nodes, which are currently in manufacturing and will be delivered in Q3 and Q4. Sercel is also in advanced discussion for significant land equipment deliveries in Q4. Overall, after very low first half of the year, we anticipate an acceleration of our top line and profitability in H2 2021 and into 2022. Earlier this year, I highlighted our business initiatives to dispose of few assets and divest noncore businesses. During Q2, we hit several milestones. First, the headquarter building sale and leaseback initiative is progressing well with closing anticipated in Q4. Second, the sale of the GeoSoftware business is progressing as planned, and we're confident to close the sale in Q4. At the end of June, our physical asset storage business has been put for sale. This is a noncore business for CGG for the storage of physical assets in large warehouses. These 2 divestitures enable CGG to further focus on the continued strengthening of the differentiation of our core businesses and our growth beyond the core. With the expected solid second half of the year, the monetization of assets and disposal of the businesses held for sale as well as the full impact of our savings, CGG should deliver a positive net cash flow in 2021. Moving on to Slide 6 now. Our Q2 revenue of $157 million was down 22% year-on-year. Group segment EBITDA were $42 million with a 26% margin mainly due to the business mix. Segment free cash flow was negative minus $3 million, and net cash flow this quarter was negative at minus $56 million before $39 million of call premium and fees related to the refinancing. H1 segment revenue of $370 million was down 22% year-on-year. And segment EBITDA was $78 million in H1 with a low 21% margin mainly due to the business mix. Segment cash flow was $57 million, and the net cash flow for the semester was negative at minus $27 million before the $39 million of call premium and refinancing fees. Our segment free cash flow in H1 2021 was higher than last year despite the significant drop in EBITDA due to an $87 million positive change in working capital and significantly reduced Multi-Client CapEx. Moving on to Slide 7 now with the headcount reduction. I'd like to show you an update on savings we have achieved from the efforts launched in March last year, the beginning of the pandemic. The reductions, which are in line with business and legal requirements, would amount to a reduction of around 900 employees by the end of 2021. And this represents a 21% reduction for the 4,200 employees we had at the end of 2019 in CGG, excluding discontinued operations. Most of the reductions come from our support functions and Geoscience. Compared to 2019, the associated savings will represent $90 million of reduced personnel costs by annum] by the end of 2021. In parallel, we also hired around 100 new talents, mainly in Geoscience, to support our growth beyond the core initiative. The $90 million in savings does not include additional savings associated with cost control and the reduction of our geographical footprint. I'll now cover our Q2 2021 operations by reporting segment, starting with GGR on Slide 9. GGR segment revenue was lower this quarter at $110 million, down 24% year-on-year but slightly up sequentially at 10%, thanks to the progressive recovery in Geoscience. Adjusted EBITDA margin was impacted by the revenue mix with less Multi-Client sales than last year. Adjusted OPINC was positive as a result of improved Geoscience revenue and our lower cost base. On Slide 10. Q2 Geoscience external revenue was $73 million, down 12% year-on-year and up 11% sequentially. Geoscience saw the start of a progressive recovery during the quarter. Backlog at the end of -- at July 1 stands at $222 million, up 4% year-on-year. In H1 2021, order intake more than doubled year-on-year, and we are anticipating further significant awards during H2 in the major active basins. The renewed focus from our clients on field development is driving demand for OBN, especially for our leading processing and imaging technology, which is critical to providing the most detailed understanding of the subsurface to derisk investments. Our top priority in Geoscience is to remain the undisputed technology leader, and this was confirmed by the recent 2021 Kimberlite Survey. On Slide 11. The Kimberlite Survey is a third-party biannual survey of sectors within the E&P industry. The recent report on subsurface imaging shows that CGG has a clear market leadership position in both technology and the service that we deliver. The chart shows us in the premium offering quadrant where our clients are willing to pay for the better image quality, state-of-the-art technology and turnaround time that we deliver. Moving on to Slide 12. The same Kimberlite Survey compares the different subsurface imaging competitors on a number of criteria. CGG consistently performs well above the industry average and better than any other competitor. The largest gaps in the chart are around the technology and quality of the image we deliver. And I want to show you now an example on Slide 13. The use of ocean bottom node seismic is on the increase -- increasingly larger-scale surveys designed to provide greater interpretation certainty in areas of complex geology. Around the world, OBN technology is being adopted where business decisions require superior subsurface imaging to reduce risk as the technical advantages over towed stream data sets are clear, especially with differentiated processing capabilities. And this is very much the case in the Gulf of Mexico, North Sea and Brazil and also in the Middle East as well. The uplift from nodes combined with our best-in-class imaging technology in this Gulf of Mexico comparison provides an excellent example of how dramatic the improvements can be. The new insights that we delivered enabled our clients to derisk their well locations, both from an HSE and project economic standpoint. So moving on to the next slide, Multi-Client key business indicators. Multi-Client revenue was $37 million, down 40% year-on-year. Q2 remained similar to Q1. The IOCs play an essential role in our Multi-Client business, and they have remained very disciplined in the first half of 2021 given the macro environment volatility and their focus on the energy transition and restoring financial performance. Sales were also impacted by the lack of bid rounds in the Gulf of Mexico and in Brazil. We have significantly re-multiplied cash CapEx from last year. In Q2, we had 2 vessels working on Multi-Client programs as we started to work on a 5-month 3D Multi-Client program in the Norwegian North Sea, in addition to our ongoing bridge project. Prefunding revenue in our Multi-Client project was at $17 million with a prefunding rate of 39% as targeted prefunding slipped into Q3 2021. As I mentioned earlier, since the end of June, we have finalized agreements for more than $35 million of prefunding for our 2021 stream vessel program. And I'm confident that we will catch up in the second half of the year. Multi-Client aftersales were $20 million this quarter, up 28% year-on-year but still lower than expected. The segment library net book value was $297 million at the end of June 2021, split 85% offshore and 15% onshore. Looking now at the Multi-Client footprint. We continue to expand our library in the most resilient basins. And indeed, we have made a conscious effort to increase our participation in development and production successfully and have avoided those frontier areas that we believe would be less robust. Brazil and Norway received most of our investments, and we also look for those well-prefunded reprocessing projects that leverage our imaging technology. I'll also point out that we are starting to see new players in the carbon storage space come to us with interest in our data, especially in the North Sea and around the potential development of future major CCUS hubs. I can see where our data library will be very valuable in that new space. Moving on to Equipment. Equipment segment revenue was low, as planned, this quarter at $48 million, down 19% year-on-year. We are anticipated a solid H2 supported by our large GPR300 node deliveries and land equipment deliveries in the last quarter. At this low volume of activity, Equipment's adjusted EBITDA and operating income were negative at $8 million negative and $16 million negative, respectively. Looking at Equipment overview. Land equipment sales represented 60% of total sales as we delivered in Q2 to various geographies, mostly spare parts for our installed base. Activity for the vibrators was strong with over 25 Nomad vehicles delivered. Marine equipment sales represented 25% of total sales. As an important milestone, Equipment was awarded a major contract with BGP for the delivery of 18,000 GPR300 nodes. It is the first and significant sale of this unique technology that features our patented QuietSeis sensor. And it will be the first large-scale marine application of our QuietSeis sensor that allows broadband recording down to very low frequencies. On the photo on the slide, it features our GPR300 shallow water node, and our manufacturing teams are currently producing it around the clock to meet the challenging delivery schedule. I'm pleased also to report that during the quarter, we made the first sales of our structural health monitoring system, S-lynks. I'll now give the floor to Yuri to -- for more financial highlights.
Yuri Baidoukov: Thank you, Sophie. Good morning, ladies and gentlemen. I will comment the Q2 2021 financial results. Looking at the consolidated P&L for 2021 on Slide 19, segment revenue amounted to $157 million, down 22% versus the second quarter of 2020. It is a very low quarter for CGG Group. Geoscience performed better than anticipated. The Equipment was low as planned, and Multi-Client sales were disappointing as some prefunding and aftersales slipped to Q3 and the second half of the year. GGR revenue was $110 million, a 24% decrease year-on-year with 70% weight. Geoscience revenue was $73 million, down 10% year-on-year but up 11% sequentially. And Multi-Client sales were $37 million, down 40% year-on-year on significantly lower CapEx and delayed prefunding and aftersales and up 8% sequentially. The Equipment revenue was low at $48 million, as planned, down 19% year-on-year with 30% weight. Segment EBITDA was $42 million, and adjusted segment EBITDA was $35 million with a 22% margin due to unfavorable revenue mix and release of excess provision for severance under the French PC Plan. Segment operating income was negative $7 million, and adjusted segment operating income was negative $15 million. Cost of financial debt was $33 million. Net loss from continuing operations was $44 million, and net loss from discontinued operations was $7 million. Group net loss was $51 million, significantly less than $147 million loss in Q2 of 2020. Simplified cash flow on Slide 20. Despite significantly lower EBITDA, Q2 2021 segment free cash flow improved at negative $3 million versus negative $8 million in the second quarter of 2020 on lower CapEx and higher positive change in working capital. Total CapEx was $57 million, 36% down year-on-year, with industrial CapEx at $6 million, research and development CapEx at $8 million and Multi-Client cash CapEx at $43 million, 40% down year-on-year. Net paid cost of debt was at $30 million, and lease repayments were at $15 million. 2021 planned cash costs were at $8 million and continue to reduce. Overall, and before the impact of the refinancing, net cash flow was negative at $56 million this quarter. The impact of the refinancing on the cash flow in the second quarter was overall $67 million. It included $39 million of refinancing fees and call premiums and $28 million net reduction in gross debt. Moving on to Slide 21, group balance sheet and capital structure. At the end of June 2021, group liquidity amounted to $385 million, including $100 million of undrawn RCF. Group gross debt before IFRS 16 was at $1.22 billion, and net debt was at $935 million. Group gross debt after IFRS 16 was at $1.35 billion, and net debt was at $1.07 billion with the following breakdown: $1.195 billion of high-yield bonds due in 2027, $24 million of accrued interest and $134 million of lease liabilities. At the end of June 2021, our capital employed was at $2.18 billion versus $2.17 billion at the end of 2020. Net working capital after IFRS 16 was at $161 million, decreasing from $212 million at year-end primarily driven by a reduction in net accounts receivable. Goodwill was stable at $1.19 billion, corresponding to 56% of total capital employed. Multi-Client library net book value after IFRS 16 was up at $516 million, including $454 million of marine and $62 million of land net book value. Other noncurrent assets were $385 million, including $228 million of property, plant and equipment, down $60 million from year-end, including $139 million of IFRS 16 right-of-use assets, of which $64 million related to Galileo financial lease and $99 million of other intangible assets, down $17 million from year-end. Other noncurrent liabilities were at $129 million, down $20 million from the end of last year. Shareholders' equity was at $1.04 billion, including $44 million of minority interest mainly related to JunFeng JV. As Sophie already mentioned, our asset monetization and disposal of businesses for sale program is progressing well. The sale and leaseback of our headquarter building in Massy is progressing as planned, and the closing of this transaction is anticipated in the fourth quarter of this year. In addition to net cash proceeds, it will result in reduction of lease liabilities and operating costs. The sale of GeoSoftware business is also progressing as planned, and closing of this transaction is anticipated early Q4 this year. During the second quarter, the physical asset storage business has been put for sale and is now accounted for as an asset held for sale. This is a noncore business for CGG, where we store documents, tapes and other physical assets for our clients in various warehouses. We're making good progress in our sales process, and we'll make relevant announcements in due course. Now I hand the floor back to Sophie for an outlook for 2021 market environment and our financial guidance.
Sophie Zurquiyah: Thank you, Yuri. So we're on the Slide 2021 Business Outlook. At the macro environment level, we see the early effects of several years of reduced investments, which are translating into high commodity prices. Yet there is also a decorrelation between oil price and E&P investments from our clients, especially the IOCs. We remain particularly cautious when it comes to longer-term opportunities to replace reserves and maintain production. This is the impact of the investors' pressure for returns and energy transition commitments. However, I have no doubt that renewable energies will play an increasing role in the energy mix, but it is also clear that the demand for oil and gas will recover to pre-COVID levels and more will continue to grow in the short to medium term. In this time frame, it is the only source of affordable and flexible energy. The current level of investment is unsustainable and will need to pick up to address the current and growing oil and gas supply constraints. In line with larger integrated OFS companies, we believe that we are progressively entering a positive cycle, with customers increasing their spending in our markets in the latter part of this year and into 2022. With our high-end geoscience and equipment technologies and superior quality multi-client data in the world's most attractive basins, CGG is well positioned to provide our clients with the solutions they require to increase the effectiveness of their activities while meeting their ESG goals. We are also actively pursuing our new business opportunities adjacent to our core capabilities and now have over 100 people working on minerals and mining, carbon and energy storage, digital services, environmental science, geothermal science and structural health monitoring.  While still early, I am optimistic based on what I see so far from our current and potential new clients. Along with the topics are already addressed earlier today, including the first sales of our structural health monitoring system, growing interest and sales of our multi-client data to CCUS, during the quarter, we also launched C-Scope, an innovative pollution monitoring solution. We announced our work with dCarbonX for the subsurface assessment of its operated clean energy projects offshore and were selected by the European Space Agency's Space Solutions initiative to undertake a consortium-led study aimed at developing environmental monitoring technology. Looking at the near-term outlook, we anticipate Geoscience to continue its progressive recovery based on solid demand for our unique technology and strengthening commercial activity. Verbal awards at the end of June were up 175% year-on-year. We also anticipate demand for our Multi-Client programs and data to strengthen from a very low first half of the year, and I'm pleased to start the third quarter with finalized prefunding agreement. Equipment, after a low Q2, should deliver a solid H2, second half of the year, driven mainly by delivery of the new GPR300 nodes and continued activity in the Middle East and North Africa. So thank you very much for your interest, and we're now ready to take your questions.
Operator: [Operator Instructions] First question is from the line of Kevin Roger from Kepler Cheuvreux.
Kevin Roger: I have 2 questions mostly, please. The first one, and sorry if you already [indiscernible] presentation, but I missed the part. Can you please give us a bit of information regarding the current level of discussion that you had with clients regarding the late sales. Do you expect a pickup, let's say, by the end of the year? What is the magnitude that we can expect from that side? If you can give us a bit of information regarding the discussion that you have with the clients right now, it would be great, please. And the second question is related to the new business that has been good for sale. Would it be possible to give us an idea of what could be the value that you could expect from it, please?
Sophie Zurquiyah: Thanks for those questions. As you know, the Multi-Client is always difficult to predict, and very often, the sales do happen in the last 2 weeks of the quarter. However, we have, coming into the second half of the year, I would say, reasonable levels of visibility on a number of deals that we think will provide us a significant improvement from the first half of the year on the Multi-Client side. Now we did see in Q2, we had a number of deals that we were working on that slipped over to the third quarter. So perhaps some of that will happen, too. But clients have -- really haven't purchased much. I mean, as you know, just not us and -- from our competitors as well. So the market has shrunk significantly. But yes, they need this data to be working on their fields and to continue their activities. So I do think the first half was really slow on the back of some uncertainty about their prioritization. I said in the past that clients are reprioritizing, but that the month of May with all this pressure, increased pressure on energy transition, I think, is pushing our clients to revisit one more time their clients, and that's creating further delay. So I'd say the conversations are good. We've got a list -- a long list of identified deals for Q3. Q4 is a bit further out. That looks encouraging, and that's just what I can say. On the -- yes, and the point I want to add as well there is that we've been suffering from the lack of lease rounds, and I did mention the Gulf of Mexico and Brazil. Brazil has announced that they're restarting those bid rounds, and that should definitely drive data sales in Brazil in the last part of the year. So that's a positive external element. In terms of the new business, I think it's a bit early, but we have, I would say, a couple of large deals in the pipe that we're hoping to announce, I would say, in the next -- it's hard to know, but in the next couple of months. And those are linked to digitalization where it's a priority for our clients to digitalize and I think we have opportunities there. So right now, the level of business, I would say, is in the -- we're starting to measure and get granularity, let's say, around 5-ish percent, 4-, 5-ish percent of our revenue comes from these other activities. But we're hoping to see some acceleration, and we'll certainly make some announcement when that happens. But there are deals identified in the pipe that we're working on for, let's say, talking in the 20-plus of a range.
Kevin Roger: Okay. And just for the second question, sorry, maybe I did not ask the question well, but it was related to the physical asset storage business that has been good for sale. I was wondering if you can give an idea in terms of what you can get from that.
Sophie Zurquiyah: Okay. Sorry, I misunderstood. I thought you were talking about new businesses. Sorry about that.
Kevin Roger: It's all my fault. Sorry for that. It's my fault.
Yuri Baidoukov: Yes, Kevin. So this is a small business. The carrying value of this business in our accounts, and you will see it is -- it's about $15 million, 1-5.
Operator: Our next question is from the line of Andre Klotz from Jefferies.
Andre Klotz: I'm somewhat fairly new to the story. I mean just a few, I guess, questions around sort of your confidence level on this outlook simply because it implies a pretty significant ramp-up in Q3 and Q4. I mean just averaging it out, we're talking about $115 million of EBITDA per quarter. So just trying to understand, great that you have some sales already done for Q3, it sounds like, but it obviously implies a pretty nice ramp-up of Q4. Just trying to understand, I guess, confidence level and visibility on that.
Sophie Zurquiyah: Yes. Thank you. Hello, and nice to talk to you. I'm sure from my comments, you've inferred that we feel fairly safe on the Geoscience recovery. And so it's not the ramp-up and that we've touched the bottom. We feel reasonably confident on the Equipment side because we have visibility on orders and commercial discussion. The unknown is always the Multi-Client. Now the -- we have a few data points. So first of all, we have the visibility on the deals for Q3. And we have, I'd say, some visibility into Q4. We've got this, as I mentioned, the Brazil lease rounds that are upcoming. And I guess the other data point is, conversely, as much as like we're looking forward to ramp up, our clients are not spending their budgets today. So they're really behind budget spending in our space. So I do expect from the client standpoint some level of acceleration of their spending, too. So I do expect the market will actually improve in the second half of the year. But Multi-Client is difficult to predict. Like I mentioned, the aftersales usually get done in the last 2 weeks of the quarter. But coming into Q3, having a view on the deals that we need to close to make the quarter is actually, I would say, encouraging news.
Andre Klotz: One last question for me, if I may. And look, I realize it's always tough to compare to competitors and comment on competitors. But I mean, one key competitor that you do have has posted quite good Q2 and a very strong outlook for the second half, which obviously is a good read across. I guess the question is just to understand maybe what's hurt you in Q2 and maybe why you're seeing a little bit less activity. Is it really driven by a sort of the Gulf of Mexico LatAm exposure and national oil company exposure would you say is the key weakness? Or just to try and understand a bit more color around that.
Sophie Zurquiyah: I think some of it is timing and where the library is. I think we are in the 2 hot places in Brazil and Norway. I think that competitor has definitely a larger library in Norway and there were lease rounds. The APA lease rounds do happen on a regular basis there, and they never stopped and that drove business. So I'd say it's just perhaps timing and data library footprint. One is done better but one is less, right? So we're somewhat in the middle because of our position. We're less frontier than others. We're in the right places, but then I mentioned the Brazil -- the lack of Brazil lease rounds that hurt us.
Operator: [Operator Instructions] And we do not have any questions as of this moment, sir. Please continue.
Sophie Zurquiyah: Okay. Well, if there isn't any question, I look forward to talking to you in person, and I hope you have a good rest of the day. Thank you very much for attending.